Operator: Good morning, and welcome to Whirlpool Corporation's First Quarter 2016 Earnings Release Call. Today's call is being recorded. For opening remarks and introductions, I would like to turn the call over to Senior Director of Investor Relations, Chris Conley. Please go ahead.
Chris Conley: Thank you and good morning. Welcome to the Whirlpool Corporation first quarter 2016 conference call. Joining me today are Jeff Fettig, our Chairman and Chief Executive Officer; Marc Bitzer; our President and Chief Operating Officer and Larry Venturelli, our Chief Financial Officer. Our remarks today track with the presentation available on the Investors section of our Web site at whirlpoolcorp.com. Before we begin, let me remind you that as we conduct this call, we will be making forward-looking statements to assist you in understanding Whirlpool Corporation's future expectations. Our actual results could differ materially from these statements due to many factors discussed in our latest 10-K and our other periodic reports, as well as on Slide 1 of this presentation. Turning to Slide 2, we want to remind you, that today's presentation includes non-GAAP measures. We believe these measures are important indicators of our operations, as they exclude items that may not be indicative of or unrelated to results from our ongoing business operations. We also think these adjusted measures will provide you with a better baseline for analyzing trends in our ongoing business operations. Listeners are directed to the supplemental information package posted on our Investor Relations website for the reconciliation of non-GAAP items to the most directly comparable GAAP measures. With that, let me turn the call over to Jeff.
Jeff Fettig: Good morning everyone and thanks for joining us today. As you saw in our press release this morning, we reported record operating results for the first quarter of the year. Our ongoing earnings per share were up 23% and our ongoing EBIT margins were up a whole point. We also stated in the statement that we are reaffirming our full year guidance after what we view as a good start to the year. Our integration activities in Europe and Asia have progressed well, and we’re firmly on track to deliver a significant level of cost synergies for the year. As you will see from our results, consistent with our full year goals, our strong execution more than offset currency and emerging market demand challenges in parts of the world. Now, I will turn to Slide 5 where you see our first quarter results. Our revenues were up 1% versus last year excluding currency. Our ongoing business earnings were a record $2.63 a share, again up 23% in line with our guidance for the year. Free cash flow declined slightly versus last year in the quarter, however we are on track to meet our full year goal. On Slide 6, you’ll see our guidance which once again we reaffirmed. We expect the year to deliver ongoing earnings of $14 to $14.75 a share which represents over 15% growth versus last year. We also continue to expect to deliver free cash flow in the range of $700 million to $800 million, which is a strong improvement over the last year. So overall our expectation is to continue to build on what we see as positive momentum that developed throughout the quarter and as we manage through a challenging environment we’re starting executing and also expect to deliver another year of record results. On Slide 7, we do highlight a few items in our 2016 capital allocation plans. In overall, the priorities here remain unchanged, which are to fund the business, to support strong returns to shareholders and to continue to evaluate value creating M&A opportunities. As you saw during the quarter, we did complete our existing share buyback program with $225 million in share repurchases. In last week, our Board authorized a new $1 billion share buyback program and 11% increase in our quarterly dividend. With our strong business performance, we believe that we have the appropriate flexibility to continue to execute our capital allocation priorities in order to drive long-term value creation. Finally on Slide 8, you can see our 2016 business priorities. Overall our focus is to continue to grow revenues and expand operating margins through a numbers of levers. First, by delivering our restructuring and acquisition cost synergies of $175 million for the year. Secondly, we are seeing and do expect to continue to see mix improvements and revenue growth as we benefit from our new product introductions and the strength of our industry leading brands. We continue to see and target growth opportunities in our adjacent businesses and we are leveraging our cost productivity actions to continue to deliver benefits to expand our operating margins. So with these actions, we will generate improved free cash flow from the year which will enable us to continue to create shareholder value through our capital allocation plans. So at this point, I’d like to turn it over to Marc Bitzer. Marc?
Marc Bitzer: Thanks Jeff and good morning everyone. Turning to Slide 10, we will review North America’s performance in the first quarter. We performed in line with our expectations by growing revenues 5% excluding currency and expanding operating margins 70 basis points to 10.5%. We delivered another quarter of sequential T-6 market share improvements and our units sell out in the first quarter outpacing the industry. Behind the strength of our recently launched products and the investments we made to drive profitable growth. Our strong operating margins were driven by our ongoing cost productivity programs and operating leverage from revenue growth, which more than offset 30 million in unfavorable currency impact in Canada and Mexico. Turning to Slide 11, we outlined our 2016 operational priorities for the North America region. Our expectation is that the industry will show 5% to 6% annual growth behind strong housing trends in consumer sentiments. We expect to grow at or above the industry rates for the year as we accelerate the growth of our new products and continue to make targeted investments to drive profitable growth. Our strong cost productivity programs will continue to drive margin improvements and we remain focused on growing on our adjacent businesses. Turning to Slide 12, we highlight our exciting new top load laundry platform. It represents a new era in laundry with an industry leading capacity and intuitive front tough controls. We saw significant first quarter growth in the top load laundry, with very positive consumer and major trade -- and customer support and we expect this trend to continue. I will now share the first quarter results for our year for Middle East and Africa region as shown on Slide 13. Sales were $1.2 billion compared to $1.3 billion in the prior year, excluding currency sales declined 3%. The topline was a little soft across Europe due to a slightly weaker industry down 1%, the market was down slightly but is strong and what would believe temporary demand declines in the UK and Russia where we have a much larger business. Ongoing operating margin was 4.9%, at 220 basis points increase compared to prior year and in line with our expectations for full year margin improvements. Strong execution of our integration plan and ongoing cost productivity more than offset 20 million in unfavorable currency impact. On Slide 14, our 2016 priorities remain unchanged with a strong focus on integration activities. Ongoing cost productivity and growth from new products. We expect the industry to be flat to up 2%. Over the year, we continue to expect to grow in line with the market and to deliver margin expansion consistent with our full year guidance of 7% to 8%. On Slide 15, we’re proud to feature Europe’s first fully connect appliance suite. These products work together seamlessly to give consumers the performance they expect while offering flexibility and peace of mind. Now, I will discuss our Latin America results on Slide 16. Sales for the quarter were $705 million excluding the impact of currency, sales decreased 4%. Industry in Brazil was down 13% which was in line with our forecast of down 10% for the full year. However, through the strength of our brand and products, we gained market share and continue to outperform the industry. Our operating profit for the quarter totaled $42 million, nearly 6% of sales compared to 6.6% on prior year. It is important to note that the first quarter of 2016 was the beginning of last year's significant real devaluation and industry decline. We have readjusted our business for today’s operating environment through previously announced cost based price increases, new product introductions and substantial cost and capacity reductions and are on track to deliver our full year operating margin guidance. On Slide 17, we’ve summarized our priorities in Latin America. We expect to manage through continued volatility through strong cost productivity programs and by maintaining our right sized fixed cost structure. We will continue to invest in new products and remain well positioned with consumer demand with best returns. Based on our expectations of demand down 10% and with a benefit of our offsetting actions, we expect to successfully navigate short-term challenges and deliver on our full year guidance. On Slide 18 is our Consul 3 standing range. It is a value based price product for Brazil that includes several premium cooking features that deliver great value for consumers. The initial sales results for this product have been very strong. Now we turn to our first quarter results in the Asia region which are shown in Slide 19. Net sales were $371 million in comparison to $378 million in the prior year period. Excluding the impact of currency, our sales increased 3%. Our ongoing operating profit was 27 million compared to [26 million] (ph) in the prior period. Ongoing operating margins were 7.3%, an increase of nearly 0.5 point driven by revenue growth and ongoing cost productivity. Turning to Slide 20, we share our 2016 priorities for our Asia operations. We will continue to focus on growth for distribution expansion and ongoing cost productivity programs. Our expectation continues to be flat in the same region with stronger demand in India and slight weakness in China. Overall, we expect strong margin performance of 7% to 8% driven by our larger group platform and the benefits of our strong innovation pipelines. On Slide 21, we showcase our new top build larger products over China market. Similar to our North American product, it features front touch controls and innovative wash technology for improved fabric care. This is a great example of leveraging our product development capability across regions. And finally, on Slide 22, we summarize our regional margin guidance for the full year. Our first quarter performance was consistent with these goals, which remain unchanged as we continue to see opportunities for strong margin expansion in all regions. And now, I’d like to turn it over to Larry.
Larry Venturelli: Thanks, Marc and good morning, everyone. As Jeff mentioned, we have solid performance in the first quarter that was in line with our expectations. Our earnings momentum entering the second quarter and expected run rates for the second half are strong. Turning to our first quarter results on Slide 24, revenues were $4.6 billion, currency had a top line impact of nearly $300 million, and excluding currency, sales were up 1%. We achieved record ongoing earnings of $2.63 per share, which was up 23% year-over-year, primarily driven by acquisition synergies and ongoing cost productivity programs. We achieved these results while absorbing a currency impact of over $0.50 per share or approximately 1-point of margin. Our ongoing EBIT margin improved by a full-point during our lowest volume quarter, and we are on track for the full year guidance of 8% to 8.5%. In summary, we are very pleased with our results for the quarter. Turning to Slide 25, we expect another record year performance and are reaffirming our full year guidance. As Mark discussed in the regional reviews, we are confident in our operational plans, and as a result, expect to deliver 15% plus growth in ongoing earnings per share in 2016 and approximately $700 million to $800 million in free cash flow. On Slide 26, we outline our expectations for EBIT margin expansion. As previously communicated, we expect to expand our margin by over a point, primarily driven by ongoing cost productivity, favorable price mix and acquisition cost synergies. We expect to continue funding our global brand and product innovation and to absorb between a point and a point and half of margin impact from currencies. Currencies, very recently have strengthened versus the dollar. While we are not adjusting our currency assumptions at this time, should trends continue, we would see lower headwinds. On Slide 27, we highlight the cadence of the first-half versus second half earnings drivers; first, given seasonality of our business, we expect volume to be stronger in the second half of the year; second, we should also have lower currency headwinds in the second half of the year; third, we expect strong results from cost productivity programs and our acquisition synergies will continue throughout the year. As a result, and consistent with prior disclosures, we would expect full year earnings to approximate 40% in half one and 60% in half two. On Slide 28, we share some details on our first quarter free cash flow results and capital allocation actions. Our free cash flow declined slightly versus prior year, primarily due to higher restructuring cash, legacy product warranty actions and temporary working capital funding related to the integration of product transitions in Europe. We executed a balanced approach to capital allocation by funding the capital needs of our business and returning cash to shareholders in the form of dividends and the completion of our share repurchase program. Our plans to generate $700 million to $800 million in annual free cash flow are on track. With our recently announced 1 billion share buyback program, we have appropriate flexibility to continue with the balanced approach to capital allocation throughout the year. On Slide 29, you can see an update on the progress of our restructuring and integration activities. We incurred $47 million of restructuring expense and delivered $58 million in benefits in the first quarter. For the year, we expect $250 million in expense and $175 million in benefits, consistent with previous communications. In summary, our strong first quarter results support the run rates needed to deliver our full year guidance. Given our results and strong balance sheet, we also believe we have the right plans in place to deploy cash in ways that will maximize shareholder value. Now I’d like to turn it back over to Jeff.
Jeff Fettig: Thanks Larry. I’ll turn to Slide 31, which summarizes again our 2016 priorities, which are built around revenue growth margin expansion and delivering strong free cash flow for the year. Four months in the year, we feel like we have very strong and robust plans to deliver on all of these priorities and we remain confident in our full year guidance. And as I outlined on Slide 32, we continue to execute our value creation strategy, which is unchanged. And this gives us an outstanding opportunity to continue delivering significant shareholder returns. So with that, I’d like to conclude our formal remarks and open up to Q&A right now. Thank you.
Operator: [Operator Instructions] And we’ll go first to Rob Wetenhall with RBC Capital Markets. Please go ahead.
Rob Wetenhall: Larry, I just want to talk about currency for a minute. First, FX exposure in North America, you guys called out a $30 million headwind and I was kind of trying to understand when you think that headwind will abate and kind of it looks like it's a little bit more than just translational and you guys done very-very confident in your guidance and I wanted to understand do you think there is potential upside to your guidance because of what's going on in FX and should we try to quantify that.
Larry Venturelli: Yes Rob, as I said in the prepared remarks you know we saw currencies begin to strengthen towards the end of the quarter and we've seen over the last couple of weeks or so that that continued strengthening, so if I was kind of bracketed I'd say you know if these trends continue to be positive and we see the continued strengthening we expect probably the lower end of our currency headwind guidance you know we said 1 to 1.5%, it'd be closer to that 1%, so that would be approximately $0.50 a share. Again I think currencies are moving in the right direction, the earnings that we posted in the first quarter is fully in line with our expectations and support our full year guidance. Operationally as Mark mentioned things are going well, and so that gives us the confidence in our full year guidance.
Rob Wetenhall: Got it, and I was hoping Mark could you talk for a second about what you're thinking revenue trends in Europe, it sounds like demand was a little bit softer than you might have otherwise expected do you think this is kind of something that's going to persist or do you think this is transitory and how should we think about revenue growth accelerating in tandem with your abilities to get synergies from Indesit.
Marc Bitzer: Hey Rob, it’s Mark, so let me actually put the European performance little bit in context. First of all on the full year base as you know we guided towards 7 to 8% margin, we guided the market demand to be flat above zero, F up 2% and we said we would grow in line with market, we also said we have a lot of focus on server margin expansion in Europe. With that in mind and as I indicated in my prepared remarks we're actually very pleased with our performance in Europe in Q1. We delivered a substantial margin improvement 220 base points, and we continue to deliver integration cost synergies and I would argue we're fully on track towards the full year margin target. On the revenue side and I said that in my remarks, we perceive that as a slight toughness versus what we had in mind but to underline that we characterize that as a temporary softness but particularly driven by the UK and Russia where as you know post Indesit acquisition we have a significant exposure where we saw some weakness. From what we see today we do not this as structural affirment we consider this very temporary issue.
Ron Wetenhall: Okay, that's helpful and final question, switching around to Latin America, it sounds like I'm just trying to understand a little bit, it sounds like you had a tough comp, with 1Q '15 and then I'm trying to put that in context. Was Brazil in line with your internal expectations for the quarter or is it something else going on with the other segment in the Latin America business, I'm just trying to understand how you're thinking about demand and profitability with the three businesses in the segment.
Marc Bitzer: Rob, it's Marc again, the simple answer is we're 100% aligned with our internal plans in Q1. To give a little bit more color keep in mind the decline of particular of Brazilian macroeconomic environment, started pretty much Q1 last year but really accelerated as we went through the year. And you saw the same on the currency, so Q1 was I would say kind of the toughest comparison if you want to see, because it was just the beginning of a recession, so we saw a significant impact obviously on the topline converted back to US dollars and then awesome demand side. We knew that coming through the year and that's why we put the plans wherever plans are and I would say we're extremely pleased with how the team performed on price margin realization i.e. on delivering cost based and inflation based price increases and better speaking we're very pleased with how the team has been managing capacity and fixed costs, and the result is our margins which are particularly keep the topline in mind very promising and we're very confident that we will deliver on our full year guidance margin.
Rob Wetenhall: Are the other businesses performing well inside Latin America.
Marc Bitzer: Rob there is always gives and takes but I would say the compressor business is performing solid or strong and consistent with what we see in the last couple of quarters, our client business out of Brazil had some issues largely driven by the introduction of import tariffs in Ecuador and Colombia, but again these are typical one time effects were just pipeline issues.
Operator: And we can take our next question from Michael Rehaut with JPMorgan, please go ahead.
Michael Rehaut: Thanks, good morning everyone. Wanted to first kind of dive into the North American region a little more if possible. You know you mentioned that the 1Q sales I believe outpaced the industry and just wanted to get a sense you know where did that strength come from, was it any particular product categories and you know offsetting it because you did have 5% volume growth and I know that includes some other of the categories in Canada, Mexico and maybe give us a sense of how those regions did as well.
Marc Bitzer: Michael it's Marc, so let me try to answer your question. First of all, I'll heed that from prior calls, as we said in a number of calls, our reported unit shipments versus the T-6 market share units are not comparable, we’re not doing an apple-to-apple comparison because obviously now our unit shipments raised a lot more than what is typically the AMT-6. So, don’t fully compare that. Anyhow, having said that and taking that into context, our unit shipments in Q1 in North America were up 5%, the technique it would say it's slightly trading versus what the AM numbers would show, even though as I mentioned before we’re not fully comparable. What is however very important to keep in mind and I indicated that before, our shipment volumes, i.e. sell in volumes after a weak start in January, we had a very strong cap in March and that momentum continued and carried into Q2 and even more importantly we mentioned which we internally look at are so called sell-out volumes, i.e. what is so true on the trade partner level. And on that level we even outpaced the overall markets. So we're actually very pleased with the U.S. shipment trends and the momentum we’re carrying. To your question, more than one category, no it's not one category but of course we feel in particular that we’ve regained strength in our laundry category which as you know is our flagship and last year we had some issues and we saw a strong growth in laundry but it carried through other categories as well.
Michael Rehaut: Yes, it’s a great run down and I certainly appreciate the apples-to-apples is not comparable there. So thanks for that additional detail. I guess secondly on the margin itself, if you kind of adjust for the 30million FX hit as well as the top line, I’m actually calculating like 11.5% adjusted North American margin. So, I was wondering if that’s correct Larry and maybe just kind of drive through what were some of the puts and takes of that. And certainly would assume that overall as particularly as currency headwinds lessen you'd still be very much on track to hit the full year margin guidance. So, just trying to get a sense of the different benefits that you’re seeing on the margin side, again, excluding the currency headwind it looks like it was about a 100 basis points above the reported number. 
Larry Venturelli: Mike let me take this again. As you know we guided full year North America margins 11.5% to 12.5%. If you would take the midpoint of that, that will be 0.7% higher than last year’s actual, if you would take the midpoint of that range. Q1 was exactly 0.7% higher than last year. So, quarter Q1 year-over-year with exact in line with the midpoint of what we guided on a full year basis, which obviously gives us confidence we are very well on track to work out for you guidance. And that typically as you also know and particularly as you follow our share for long time. There is a lot of seasonality in our Q1 business. So, there's a couple of factors like small domestic appliances which are much stronger in Q4 and Q3 and that’s a normal issue. If you would go back to the last couple of years, you always see a margin lift as the year progress. So again that’s very typical and that’s why we’re very confident. Particularly with regards to your question on FX, yes you’re probably correct particularly in Q1 our FX burden was high. In North America the two currencies, very simple it's Canadian dollar and Mexican Peso. First of all both finding and regained some strength to work the end of the quarter. However, on a quarter average, in particular compared to last year this was a tough comparison. That comparison get a lot less challenging as the year progresses.
Operator: And we’ll go next to Denise Chai with Bank of America Merrill Lynch.
Denise Chai: Okay. Thanks for taking my question. I wanted to ask in North America what you’re seeing in the competitive environment and specifically can we get an update on the anti-dumping suit?
Marc Bitzer: Denise, let me first talk about the competitive environment. Again, it’s kind of, this is a market where you will always see promotions and we are set for promotions in terms of value creation or if I don’t create value. Right now we saw, and I mentioned in my last earnings call we saw a slightly elevated level of promotion in Q4. We adjusted to that and that’s pretty much the same level in Q1. So, it’s kind of -- I wouldn’t describe the situation as overly concerning or surprising to us. We operate very well in that environment, we delivered strong sales growth and again as I mentioned before we’re very pleased with our sellout momentum which ultimately as you know transit into selling. So we are actually very confident about the overall volume growth and our ability to find and regain some market share which we lost last year. 
Jeff Fettig: Denise regarding the dumping, let me give you a brief update on that. I believe we told you last time, end of January the ITC commissioners unanimously voted to proceed with the investigation in the wash or dumping trial process that we filed. It is tracking in line with our knowledge of the process and our expectations. On a high level we would expect by midyear or just beginning in the third quarter that the department of commerce will complete their investigation and establish dumping levels and cash deposits for violating companies. Typically there will be six months where the Department of Commerce releases it's final anti-anti-dumping determination and then it goes back to the ITC which we would expect within the next month, and have a final conclusion to that. So, from our perspective, it's progressing as it should. Again, we feel very strong that this has been going on for some period of time, quite a long time really a continuation of the previous washer dumping, which we bought. And so we expect the process to continue in this path.
Denise Chai: And just one more, so in terms of raw materials are you still expecting to see I think around north of 100 million in benefit of this year and mostly in the first half? And just related to that, how should we think about the North America pricing down 2% on an average unit basis? Are we seeing you reinvest some of the raw material savings?
Jeff Fettig: Yes, Denise, I think our guidance for full cost productivity, which includes the 100 million plus in raw materials is still very valid. I mean we’re very confident in that and our Q1 results fully support what we expect for the full year from a productivity perspective.
Marc Bitzer: Denise, let me just, it's Marc again. Let me just comment on what you referred to the minus 2%; again, very important to highlight the revenue growth excluding currencies. As we said, the published revenue growth for North America is plus-3, excluding FX it's plus 5, which exactly matches our unit growth. So, on an average sales value per unit we’re exactly flat year-over-year.
Operator: And our next question comes from David MacGregor with Longbow Research.
David MacGregor: You touched already Marc on the fact that you’re happy with the recovery in the North American business. I wanted to just go back to that a little bit, a couple of earnings calls you go, you’d indicated that that may cost you over 100 basis points of market share. And I guess the question is can you update us on the progress on the product availability issues from last year? And do you feel this recovery positions you to regain the 100 basis points plus of market share that’s been you previously indicated the situation cost last year?
Marc Bitzer: So David to that point, yes, you’re correct. Last year, our availability issues, which are very large related to the huge amount of product introductions, because there is a market share. And when we guided on a fully base to grow in line with market above market that they’ve imply to the weakening that market share. I will characterize in particular on the sequential base the Q1 is fully on track towards recovering that lost market share. And I would also expect that number in Q2 that turns throughout the year-over-year improvements. And yes there is large by the larger category, but we had some product introduction issues. So, and that is not fully on track and have seen very strong performance.
David MacGregor: And question for Larry, you talked about the 175 million of benefit this year. I guess the question is how much of that goes to margins versus how much of it ends up being reinvested elsewhere in other initiatives?
Larry Venturelli: Well, I think you’re referring the synergies, and synergy benefits and David that all would flow in the margins.
Jeff Fettig: David, the way I guess I would look at it is if you go to the margin walk page, basically and then particularly in the case of Europe and China where we talked about acquisition synergies, it was squarely are positioned and these would be brought to bottom line expand our margins. And to-date that’s been the case. You’ve got other moving parts, raw materials cost productivity mix price et cetera and currencies, and so there is give and takes. But as a general principle the restructuring and M&A synergies we’re using in those particular parts of the world clearly to expand margin.
Larry Venturelli: And if you’re looking at Europe David certainly some very nice solid margin improvement, probably 3.5 points of synergy but that’s being partially offset that just deployed from the unfavorable currency that we’re building.
Operator: Our next question comes from Megan McGrath with MKM.
Megan McGrath: I wanted to follow up a little bit on the North American competitive environment. We see a lot of signage and so for the big box store here around a spring Black Friday event, just wanted to get your thoughts on that in terms of appliances. Is it about the same as last year, or is this new initiative for them in terms of more aggressive promotions in the spring?
Marc Bitzer: Megan it's Marc. First of all from an overall competitive environment, trade environment, promotions are just the nature of the North America business. You will have spring Black Friday, Earth Day, you would have more the Labor Day, and Red White & Blue. So there is a lot of promotional holidays, that’s just the nature of the U.S. market but it doesn’t drive the entire market. So, as we’ve said in the past, or to the name of the game and how we effectively play between promotion environment and the regular ongoing business environment. On promotions, we on a case by case base make the decisions, does it create value for us and our customers or not and then we make a situation assessment. As I mentioned before, we saw slight increase in promotion environment in Q4 and that carried into Q1 as evidence from our margin expansion I think we can create value, grow the business and add -- expand margins despite that environment, so we’re not overly concerned about it.
Megan McGrath: And then wanted to follow-up on the share buybacks, obviously you put a new large share buyback into place you seem to be pretty opportunistic in the first quarter on buying back shares, so how are you looking at that $1 billion authorization, are you thinking about just continuing to be opportunistic are you going to put some things that is more regular in place, do you have a goal in terms of keeping your shares outstanding at a certain level, if you could give us some more color that would be great.
Jeff Fettig: Yes Megan, this is Jeff. You know the way I guess we have would -- the best way for us to frame it is, this is part of our capital allocation process and you know on an ongoing basis we have dialogue with our board in terms of opportunities to create value for shareholders and over time they vary or different opportunities occur. Certainly some leaving the last year we purchased we felt it was a very good use of capital for our shareholders, we are funding our business at appropriate levels now to deliver product innovation to the market place around the world. We are funding the business for restructuring opportunities with our M&A acquisitions which are delivering great cost benefits, you know in the past we've demonstrated when we saw great M&A opportunities we can move very quickly when we have and we also have certainly returned to shareholders for exhibiting the share repurchase and you know again we've given our long range view of what our financial performance we expect to be and obviously that makes our shares based on that in our view have great opportunity to increase in value and we balance all of those we make different decisions during different periods. But the point of all that is we have the ability to look at all these opportunities and then get very tight any period of time and act on them. And that's what we've been doing, we will not, nor have in the past given specific timeframes for when we expect to complete this. You should expect we, as we have been at today's levels it’s highly likely we'll be a buyer can even be a buyer this year of our shares but we don't have a defined period of time by which we’re going to complete it.
Operator: And our next question comes from Ken Zener with KeyBanc Capital.
Ken Zener: Good morning gentlemen. Should we interpret for North America, the five rough squiggly line 5% plus to be now you're saying 5 to 6% I mean are you taking that up a percent for the industry guidance or is that just a rounding error, and I guess and the reason I'm asking that, seems like North America is obviously they have started off better could it be whether or not, but I think with some people it's maybe surprising with the higher demand side of [indiscernible] that wouldn’t have impacted your guys guidance at all to the F side.
Marc Bitzer: Ken it's Marc. So taking your speaking we're taking it up half a point because that's the average of 5 to 6% but all joking aside we do see strength from a North American market in Q1 and we expect some of that strength to carry through as the year progresses. Behind this we are and we remain confident about the US housing market. I know there have been some somewhat sluggish numbers about housing starts we do see that being corrected over time so we're still counting on 1.15 to 1.2 housing starts and we're still counting on existing home sales of 5.3, 5.4 in that ball park and we continue to see that as we observe in the market every day, so that's why we said it’s 5 to 6% could it even be more, could be, we do not see weakness today on the North American market demand.
Ken Zener: And then related to last year's product launches and the divided issues you were juggling last year, why wouldn't or why aren't we seeing a greater lift as you, you know you talked about 100 basis points margin so you're covering but why don’t we see more of a lift if that was something you called out last year for your comping against and very easy comps and [indiscernible] vigorous product line in North America.
Marc Bitzer: And Kenneth, it's Marc again, obviously we're going to see how the mix progresses I can only say in particular related to what I mentioned before our sell out in Q1 has been very strong and we're talking about high single digits, low double digits sell out. Which is the indication of a newly floor product the new product introduction are working on the floor, if you know the product are working on the floor and they're selling on the floor you know the shipments will come, so that's why we're bullish on what we said before, we will grow in line or above market and obviously outlook is in on above market.
Jeff Fettig: And Ken the trend is really is there, I think you know we kind of had the full impact of this in late summer Q3, we improved Q4 versus Q3, we improved Q1 versus Q4 to Marc's point you know the real important thing is what are consumers buying not necessarily what you're shipping that will follow and that's very positive so I think we like the trend we've been on particularly over the last eight-ten weeks and our performance through all the markets should be good.
Operator: And we'll go next to Sam Darkatsh with Raymond James, please go ahead.
Sam Darkatsh : Good morning Jeff, Marc, Larry how are you? Three real quick questions if I could, Larry first I want to make sure I understood your commentary around FX, or specifically did I understand it to mean that if you were to mark to market current FX rates than the benefit incrementally to guidance or at least to EPS would be $0.50. Is that accurate?
Larry Venturelli: Yes, I’d say, if we continue -- and again it’s still early on, if we continue to see the same trends that we've been seeing in the last couple of weeks or so that would translate to my comments would be approximately $0.50.
Jeff Fettig: Let me just add on that. Obviously there is a lot of talk for over a year about currency. Our big parameter is we gave guidance for the year in February, we're really about the things that have been the most volatile which are our currency levels and demand levels, particularly emerging markets demand levels. In the first quarter, we were able to operate within those parameters. Late in the quarter, the currency portion and so far in April has been better than our assumptions. The demand is not, it’s about in line and some markets are worse and the few markets are better. But in our view was particularly with what we’ve seen volatility wise and in the case of Brazil, the political chaos and so on and so forth. It’s way too early for us to change our currency assumptions, but to Larry’s point if you take our two big parameters, currency levels and demand, our view is if they get better we’ll get better. 
Sam Darkatsh: Where I am confused is you’re saying if trends continue, so for example if the reais went from $0.26 to $0.28 during the quarter. Does the mean it has to continue to strengthen at that rate?
Jeff Fettig: Hold on. We said -- reais is actually 4:1 dollars in February. It’s now 3.55, so a 10% strengthening, built around a political scenario. So, our view is that if it stays at 3.55 which is where it is today we’ll do better in Latin America, same with the Europe which was probably 1.08 or so in February, it's 1.12 - 1.13 that’s the translation effect there. Now, for the most part, the part we have a couple of negatives around the world, but net-net whereas currency was bad all year last year we have a little bit of stabilization which we view as a good thing but it’s way too early to adjust any guidance based on that.
Operator: Thank you. Our next question is from Eric Bosshard from Cleveland Research.
Tom Mahoney: This is Tom calling out for Eric. Quick question on the Europe revenue decline, interesting how the 1Q organic trends compares to what you guys did through 2015. I guess really looking to pinpoint the timing of when you guys cycled the Russia headwind?
Marc Bitzer: Tom it's Marc Bitzer. So first of all as you know on a full year basis last year Europe revenue was pretty much flat and that’s where we kind of based the market assumptions pretty much expecting all through this year directionally. So Q1 on constant FX or in local currency, with minus fees of kind of trailing fee point pretty much behind where we want to be from the revenue side. Again, as I mentioned before where it is largely driven by Russia and UK for different reasons. UK there is a British pound weakness, we announced some cost based price increases. As you all know we have a safety recall action -- it's a temporary UK issue. Russia, the market remains soft throughout Q1. As we said also on Investor Day, Russia is a market of extreme volatility and we saw in previous and described that kind of market come down very quickly and also comes up very quickly. It started already last, pretty much around February or Q1 over Q1, there was a slight weakness even though we worked till the end of the quarter some signs of stabilization in the Russia markets. But it’s very hard to predict how the Russia market develops going forward. Again the latest trends have been a little bit more encouraging but it still remains very soft. 
Tom Mahoney: Great. Thank you.
Operator: [Operator Instructions] We will go next to Sam Darkatsh of Raymond James.
Sam Darkatsh: I’d better ask all my questions once before the moderator gets the finger [indiscernible]. I have two other quick questions if I could. First off on slide 27 which is the timing of earnings walk first half to second half. If my notes hold, the costing capacity reductions that used to be two pluses in the back half and now it’s one plus, if that's accurate what’s the derivation of that? And then my final question would be, in Latin America you said the price mix you’re happy with could you help quantify what price mix was year-over-year in the Latin American segment?
Larry Venturelli: Hi Sam, this is Larry. You’ll probably note from the slide in the deck there that we had very strong costing capacity from the synergies in Q1. So we’re delivering a little bit ahead of our pace on the synergies and that’s the only reason we adjusted the chart from the previous. But we expect -- obviously expect continued strong productivity and continued strong synergies for the remainder of the year. 
Marc Bitzer: Sam this is Marc, on Latin America and we will note that figure ready on you. Just putting in context, so in Latin America we had a minus 22 unit growth in Q1 excluding currency our revenue were minus 4, so that gives you a lot of the answer about the massive progress we made there on driving up our price mix. As you also know this is a blend of multiple different businesses, you also have the large national business in there and there is quite a bit of differences in Brazil between what we call T3, T9, T12, anyhow if you peel back beyond and in particular in our all important T3 categories, we had substantial improvement on price mix and we were successful in fact doing several cost based price increases into the market. So in short we’re pleased that how the team mitigates the negative impacts of inflation currency on to price. So we’re very pleased with the progress.
Sam Darkatsh: Can you help quantify that market if you could, even if it's a range of what price mix was in the quarter?
Marc Bitzer: On the core, as you know Sam, you don’t give detailed numbers on price mix. But on the core Brazil and particularly if you look at the T3, again that’s an element of a core business, we had year-over-year almost double-digit is the improvement.
Operator: We’ll go next to David MacGregor with Longbow. Please go ahead.
David MacGregor: You talked in the past about the importance of having market share leadership at the country level in Europe. And in the sense you want the virtues of this acquisition is it enhances that country by country leadership position. Can you just talk about how your market share, your leadership countries may have changed versus the non-leadership countries?
Marc Bitzer: David, its Marc. And I mean as you know, we typically don’t break down market share progress quarter-on-quarter country by country. Having said that, I reaffirm that one of the key strengths of the acquisition has been the market share strength and position, which we have in several key countries and that is to be honest one year or one and half years into the integration has been fully reconfirmed. Our business in particular, Italy, France, UK and Russia and Poland remained very strong and are very strong. We do not see for your question a decline in market share, significant decline in some of the smaller markets. It's just I think what is reconfirm the structural benefit of having a strong market position, but we don’t see a dramatic shift year-over-year between weaker and stronger markets.
Jeff Fettig: And David over time I think you will see it demonstrated through our continued ability to build our overall margin structure. And I think the other point Marc made in Q1 is when you look at overall market, we also have the market mix and having strong share of Russia and UK having those markets down more, which would weight our overall mix a little bit close to the market that’s really in our view a temporary situation.
David MacGregor: And then second just a quick follow up, you mentioned twice in your Slide deck the adjacencies business is a growth driver. What kind of growth is achievable in this business? And do you expect margins in this business to be greater in 2016 than they were in ’15?
Jeff Fettig: Yes, they’ve been -- overall, that business there is a number of things in it, but two that you know very well, one is our KitchenAid small appliance business. And in the case of North America we have a consumer products business. We have a commercial laundry business, and then everywhere around the world slightly different. But these businesses are each one of them are somewhat different. But our view is we’d like to be able to consistently grow this at least double-digit and that will be SDA that the consumer products ultimately commercial laundry and so on given our position. We also have some more businesses like this in Brazil. We’re developing them now, Europe, with the acquisition. We don’t yet have these businesses in China. So there is a little bit around the world. But on average, yes, these are nicely margin business, probably at least double our margins so that we have them in our, our core or major appliance business. And so again when we talk about capital allocation and that sort of things, we do focus on what are the opportunities to grow these businesses could be by adding product lines could be by expanding in new markets around the world and so on. And we focus on that very strongly.
Operator: And we also have a follow up from Ken Zener with KeyBanc Capital.
Ken Zener: Marc, following up on the question, or your statement that you grew point of sale was high single low double versus the industry shipments. Could you expand on that and give us some context? Is that due to your easy comps last year? Has that happened in the past? What does that mean for your inventory levels and/or your utilization rates? Because I think Larry you said 40% of your EPS will fall into the first-half, which are your midpoints about $3.11. So just trying to understand how those comments might impact your inventory shipments and just context to see that type of various happens often occasionally, rarely?
Marc Bitzer: Ken, its Marc. So obviously our sell through or sell out has been slightly higher than the sell in. So that sales up by definition as the reduction of trade inventory in the quarter, and that is by definition. So, no matter how you turn into the ending inventory for retailers is lower than the coming in. I would say it's a combination of both. I think some retailers were slight behind inventory coming through the quarter, but right now I would argue the strong sell through momentum of our product, we will see and we are seeing the shipments coming, catching up. So this is not a structural inventory reduction, it's temporary and ultimately as Jeff pointed out before selling always follow sellout.
Operator: Thank you. We also have follow up from Michael Rehaut with JPMorgan. 
Michael Rehaut: Thanks. Just want to make sure I heard right on the Europe segment that you were -- that revenues down 3% ex-FX, even if down 4%, and did I hear right that you saw the market flattish so you underperformed a little bit. And just wanted to get sense of what the drivers were there, sorry if you've covered this already, just want to make sure I fully understood that and if that’s the case how do you anticipate kind of getting back in line with market growth for the full year which I think was still you're looking flat, flat to, well closer to flattish.
Marc Bitzer: Michael it's Marc. So first of all what I said is are you going to grow with minus 4 and we think the market was about minus 1 on a total level. So technically yes that would translate into we lost something versus the market, however embedded what Jeff highlight before it's very important to note that our country profile is not exactly the average of the overall market. I.e. we are exposed more to Russia, UK, Italy and France so I would say the overall market profile is not exactly identical to our data profile and in this case and just being a number situation swing slightly up in direction we're more or less more impacted by the Russia decline, but again we consider that temporary. 
Michael Rehaut: And then just Larry couple of technical questions on the income statement could you give us a sense what the share buyback, how we should think about fully diluted shares for the second quarter as well as the full year assuming nothing incremental from here and also just the tax rate expectations for the full year if you can revisit that as well.
Larry Venturelli: Tax rate Michael we said last call our guidance was 22 to 24% and in Q1 we're 22 and I'd expect that to hold for the rest of the year and I believe your first question was on shares absolute shares used. Weighted average shares, I would just use what you see in Q1.
Operator: And it appears we have no further questions at this time, I'll return the floor to Jeff Fettig for closing remarks.
Jeff Fettig: Well again everyone, thank you for joining us today and we look forward to talking to you at our next call, thank you.